Operator: Good morning, ladies and gentlemen. Welcome to the Trican Well Service First Quarter 2021 Earnings Results Conference Call and Webcast. As a reminder, this conference call is being recorded. I would now like to turn the conference over to Mr. Brad Fedora, President and Chief Executive Officer of Trican Well Services. Please go ahead sir.
Brad Fedora: Thank you very much. Good morning, ladies and gentlemen. I'd like to thank you for attending the Trican conference call today. Just a brief outline on how we intend to conduct the call. First, Klaas Deemter, our interim CFO, will give an overview of the quarterly results. I will then address issues pertaining to current market conditions and near-term outlook and then we will open up the call for questions. We have several members of our executive team here as well, so we should be able to answer any questions. I will now turn the call over to Klaas.
Klaas Deemter: Thanks Brad. Before we begin, I would like to point out that this conference call may contain forward-looking statements and other information based on current expectations or results for the company. Certain material factors or assumptions are applied in drawing a conclusion or making a projection as reflected in the forward-looking information section of our Q1 2021 MD&A. A number of business risks and uncertainties could cause the actual results to differ materially from these forward-looking statements and financial outlook. Some of these risks and uncertainties are further amplified due to the current global health crisis caused by the COVID-19 pandemic. Please refer to our 2020 Annual Information Form and the business risks section of our MD&A for the quarter ended March 31 for a more complete description of business risks and uncertainties facing Trican. This conference call refers to several common industry terms and certain non-GAAP measures, which are more fully described in our quarterly MD&A. Our quarterly results were released after close on market on May 12 and are available on SEDAR. Revenue in the first quarter of 2021 was $148 million, an increase of $45 million from fourth quarter 2020 levels. A recovery in commodity prices improved cash flows for our customers and as a result led to higher activity levels for Trican. The benchmark West Texas intermediate oil price, also known as WTI, averaged US$58 per barrel, 36% higher on a sequential basis. AECO the benchmark Canadian natural gas price was up 17% sequentially increasing to an average of 294 per Mcf in Q1 2021. The average western Canadian rig count was 146 in Q1 2021, there's significant increase over the average of 89 in Q4 2020. The rig count escalated quickly at the start of the quarter and stayed relatively consistent from mid January to mid-March before declining with the onset of Spring Break Up. The sequential increase was [indiscernible] service companies, but the rig count is still at the lower end of the five-year range and is reflective of the capital discipline being exercised by customers as they focus on returning value to their shareholders, their balance sheets rather than through the [indiscernible]. We're proud of our operational execution for even the coldest days in the quarter; strong operational efficiency and higher field activity combined with structural fixed cost improvements made in the last year have led to sequential improvements in key financial categories. Our adjusted EBITDA came in at $27 million, a significant improvement over the prior year period, despite a year-over-year rig count decline of 20% on our corresponding year-over-year revenue decline of 23%. Adjusted EBITDA was negatively affected by cash stock compensation expense of $1.8 million, which fluctuates with the movement in the company's share price and by fluid end expenditures of $2.3 million. Trican expenses fluid ends as a useful license is typically less than 12 months due to the type of work found in the higher intensity areas of the WCSB. We are aware that this is not a uniform practice across the pressure pumping industry, so to remind readers of our statements to bear in mind when comparing our – bear that in mind when comparing our results against other market participants. Trican also recognized $5.5 million from the Canadian emergency wage and rent subsidies during the quarter. Fracturing operations were supported by large pad work, driving high utilization and a 46% increase in proppant pump compared to Q4 2020 levels. In response to strong customer demand, the company activated an additional fracturing crew in early January at minimal costs. This resulted in six fracturing crews operating through the quarter compared to five crews in Q4. Improved fracturing margins were a significant factor in the overall sequential improvement in margins for the company. The company was also pleased to introduce the CAT Tier 4 Dynamic Gas Blending fracturing pumping in Q1, which was trialed on multiple customer locations. This new generation dual fuel engine can displace up to 85% of diesel with cleaner burning natural gas reducing costs to our customers and emissions on location. Positive feedbacks from the customers on our own desire to reduce the company's environmental impact as part of our ESG commitment or factors leading to our decision to upgrade 30,000 horsepower of existing conventionally powered diesel pumpers to the Tier 4 engines. Spending activity, which largely drops the rig count saw a sharp ramp-up in January and had steady utilization through the quarter until Spring Break Up conditions started to be felt in mid-March. The average job size increased over Q4 as a company had more jobs in the deep, technically challenging wells that are found in the Montney and Deep Basin areas. Coiled tubing activity was up on a sequential basis with steady utilization and cost control driving improvements in margins. The utilization was supported by 122 well coalbed methane program that ran from Q4 2020 through to the end of Q1 2021. Depreciation amortization was $24 million lower than the $25 million recorded in Q4. This reduction is attributable to the age of the company fleet and due to the impairment taken on non-financial assets in 2020. First quarter profit before income tax from continuing operations was $1.7 million, a significant improvement over the loss of $21.9 million in Q4 2020 and the loss of $155 million in Q1 2020. Both comparative quarters recognized significant impairments related to the impact of the COVID-19 pandemic. The company was also pleased to report the sale of the software business for cash proceeds of $6.5 million. This drove a gain of $4.2 million, which was reflected in the profit from discontinued operations. Trican's combined net profit for the period was $5.9 million or approximately $0.02 per share. The company's cash balance has remained steady on a sequential basis even with the working capital build through the quarter, operating cash flow and proceeds from the disposition of non-core assets were sufficient to fund the company's capital expenditures of $6.9 million along with the company's ongoing investment into our NCIB program. The company expects its full year 2021 capital budget to be approximately $40 million following down some of the Tier 4 fleet upgrade made in April. This investment will upgrade existing conventionally diesel powered bumpers with the CAT Tier 4 engine that was trialed in Q1. As noted earlier, these engines can displace up to 85% of diesel used in a conventional pumper with clean burning, natural gas, reducing carbon dioxide and particulate matter emissions. This low emission fleet is a key part of Trican's [indiscernible]. Furthermore, refurbishing and upgrading existing equipment has a lower environmental footprint relative to building new since not all components are required to be replaced. The capital budget is expected to be funded from available cash on hand as well as from free cash flow that will be generated from the business through the balance of the year. Trican exited the quarter with $23 million in cash and no drawn bank debt. Additionally, the company has a positive non-cash working capital position of approximately $70 million. Our strong cash position and available credit lines provide the company with sufficient liquidity to invest into our equipment and give us the flexibility to make investments such as the recently announced Tier 4 program as well as consider other opportunities as they arise. The company will continue the disposal of surplus and non-core assets and it's difficult to predict the quantum of these disposals. The disposals of these assets allow us to monetize stranded capital and redeploy it back into the business, but our capital program is funded independently from these activities. During the quarter, we also invested $1.7 million into our NCIB program. The company continues to review share repurchase as a good long-term investment opportunity for the use of any excess capital although we'll always evaluate various opportunities that will offer the best long-term investment for the company. I also want to note that we recast the comparative periods for our 2020 quarterly results to reflect the change in the recognition of the Canadian Emergency Wage Subsidy program. We reviewed our 2020 submissions following a CRA audit and determined that our initial applications understated what we were eligible for. We had corrected our submissions and you'll see it in the notes of the financial statements that we recast those amounts into 2020 as they are associated with activities of that year. As a result of this positive adjustment, our recast 2020 results reflect an increase of $5.7 million to our earnings and adjusted EBITDA. Please see Note 13 in our March 31, 2021 statements for further details. Now I'll turn the call over to Brad, who will provide some comments on the operating conditions and strategic outlook.
Brad Fedora: Thanks, Klaas. I'll make some general comments, both on Q1 and on what we are seeing for Q2 in the second half of 2021. So just in Q1 activity increased significantly when you compare it to Q4, we were active with all our core customers, we were fortunate enough to have had a very short Christmas break and had most of our crews back working actually before year-end and or very early January. And even during the extreme cold in February, we had very minimal delays. Our crews worked really well through that whole week. And the quarter began with about 150 rigs running in the base and we peaked at about 182 and then exited the quarter, I think, with 79 active rigs. The pricing was stable compared to exit 2021 levels, even though it was stable, the pricing is always competitive with companies jockeying for market share, particularly Liberty was one of our – was one of the bigger price defenders in the market in Q1 and continue to be in Q2. And so that's provided some unneeded pressure into the pricing market. Our strategy has not changed. We plan on moving pricing up in the second half of the year. We simply cannot operate at these pricing levels and maintain a sustainable business. And I think most of our customers understand this. As I've discussed in prior calls, any positive pricing movement goes straight to cash flows in our – and the bottom line. So the operating leverage works well both on the way up just as it does on the way down. Much of the fleet in Canada is nearing its end of life for the main components on the pumps especially. And so, the sector as a whole will need capital reinvestment going forward. And so when you look at today's pricing conditions, you simply cannot afford to reinvest into our equipment. And I think generally the reactivation cost of bringing fleets back into the market has generally been underestimated. And so, I think, you'll see continued pressure to get pricing up to more reasonable and sustainable levels throughout the rest of this year. As Klaas was saying saying, we ran 6 frac crews in Q1. We average about 186,000 working horsepower throughout the quarter, 17 cement crews and 6 coiled crews. We don't expect that this will change any – significantly going forward. The cementing crews tend, obviously go up and down with the number of drilling rigs that are running, but the 6 frac crews and the six coil crews we think will be stable until this fall. We continue to focus on the Montney and the Deep Basin with the improved commodity prices, particularly natural gas over the last sort of nine months. Activity's been stable and growing in that area. In Q1 about 85% of our work was natural gas or liquids, rich gas at about 15% oil. We don't expect that it will change much. Now that we've got oil in the mid-60s we may see some more [indiscernible] oil share grow a little bit, but certainly the core – our core business is focused on gas and liquid rich gas areas. The number of the amount of proppant pumped in Q1 increased by about 45%. We pumped about 335,000 tons in the quarter. Most of that was internally sourced; about 65% of the profit we pumped comes from Northeastern us or the Ottawa white sand versus the domestic sand. And more of our customers are pumping their own sand, but that's okay. We will charge corkage on customer sand going forward, and so we don't see that as being a significant impact on our business. We achieved really good cost reductions in the quarter, especially in our fixed cost infrastructure. And of course this leads to higher margins improved, improved cash flow and earning margins. And as a result, we generated about $19 million of free cash flow in Q1. We've been significantly invested into our infrastructure in our business in the past, and so we're able to add revenue to our business in the future without any significant increases to our fixed costs or our G&A, and that's the operating leverage that I often refer to. So just on the second half, we've had a really good start to Q2. I think customers are taking advantage of good commodity prices and actually very stable weather, which has been a treat this year. If we don't get any prolonged weather interruptions, this will be our best Q2 that the company's had in years. We expect to actually be EBITDA positive for the quarter, which will be a nice change, and we'll have a significant impact on our annual EBITDA and cash flows. I think our customers are doing a better job of level loading their programs this year. And we hope that continues into the future and the following years. The Q2 rig count is generally been better than what we expected. We're currently at about 64 rigs. This is a really good sign for the second half of this year. When you think back to this time last year, there was – there was almost no rigs running. Basin as always remains very gas focused, improved oil prices you'll see more liquids rich in oil and oil plays being pursued. But in general Canada was a gas basin and, gas prices have really firmed up nicely in the last nine months, and certainly the forward curve looks encouraging. So we're expecting activity but slowly increase in Canada and we just backdrop to that increase in activity that we're expecting. We are not going to be running any more frac crews, like I said we're going to run six frac crews until the fall, six coil crews, cementing will fluctuate with the drilling rig, but we're expecting to add any cruise into this basin. We don't have a great visibility past the summer as we never do it this time of year. Generally our summer looks very busy. We have – our board is full per se. And so we're expecting a busy summer and just as budgets get firmed up over the next sort of six to eight weeks, we expect to have a better sense of Q4, but we know we expect to stay busy for the second half of the year. We're – the strong commodity prices that we're seeing today, I don't think are being reflected in budgets. And so when you think about budgets coming over the next six to eight weeks, I think, generally they will trade. They will trend up, but certainly we're aware of that our customers are under pressure to reduce debt payments, increase dividends. Not grow production for the sake of growing, but to focus on returns and we're doing the same. And we're working with them to make sure that, is the programs that they are conducting, they're efficient as possible. And we certainly want to add to their profitability. And we hope that will – they will see us as a partner – as a partner in their growing profitability and efficiency going forward. That being said, field margin are still skinny. We're starting to see some costs creep into the system from our suppliers which is expected. Both us and our suppliers have reduced prices to unsustainable levels and they were held there for the most of 2020. And they just can't stay there forever. So, we understand that our suppliers need to have to give us price increases and just like, we need to give our customers a price increase. Going forward, if the basin does continue to grow its activity, people will remain the bottleneck for future crew activations. The labor force, although it's not an issue today, we do expect that if we start growing activity 10% a year, that that will become an issue, and it will become an issue for all service companies, not just the pressure bumpers. And that, it will increase the reactivation times and that combined with higher reactivation costs and I think what has been previously anticipated should maintain the market in a fairly tight supply demand balance. On the supply chain and cost efficiency side, we did a great job. The company has done a great job of getting its SG&A down in the last few years. Our SG&A levels today are sort of less than half of what they were a couple of years ago, and the same would apply to our – for our fixed operating costs. We're operating on a monthly basis now that's less than half of what it would've been two years ago. So that is a great – that's great augmentation to profitability, and we don't expect that that's going to change going forward. We expect that if we do add cruise, whether it's on the coil fracking or cementing side, that our fixed costs will remain very stable. On supplier side, the biggest pressures we've had is diesel and third-party trucking, and those of course are intimately connected to each other. Hotel costs have gone up. Our – the amount of density in the rooms that we're able to do to implement due to COVID has obviously declined. We used to put two people in a room, now we can only put one. And those costs are definitely showing up in our cost structure. We have been able to pass some of that on to our customers, but, you know, you've had a huge increase in diesel in the past six months. And I don't think that's been truly appreciated in the marketplace. This will put pressure on all third-party costs. And so we expect that as our costs increase, we will pass on those cost increases to our customers. Given the events of line five, I think we get questions, how well impact your operations? And even though it's, it's not a direct impact to us, if we do end up with more crude by rail over the next year, depending on what happens that could some logistics, bottlenecks, particularly with respect to sand coming out of the U.S. but we'll just continue to monitor that hedge your bets accordingly.  We're always looking to invest in technology advances within our industry. We have the balance sheet to look at anything and everything. And we showed that, I guess a few weeks back when we announced a three-year deal with one of our customers on a 4 four low emissions fracturing spread, that fracturing spread becomes active in Q4 this year, we'll look, and we'll look for more of those. And I think what's important to note is that price and volume negotiations that that resulted were at levels that we felt we were getting good returns on that investment. We would never make investments whether it's technology or equipment, unless we thought we were going to get god returns on that investment. We would never make investments weather its technology or equipment unless we taught we were going to get returns above our cost of capital. And certainly we would have no issues with parking spreads if prices go down, I want to just stress that we're very returns focused and we will make moves accordingly. We've made other implementation into technology and things like idle free in the field with our large pumps. We expect that's going to expand through our fleet. And just what that does is just shut the engines down when it's not being used, saves on diesel, saves on emissions, saves on repairs and maintenance. So it's a good technology to implement. It's just making sure that the pricing environment can support that, that ongoing investment. The capital program for 2021 we've announced previously that we expect our capital to be about $40 million for the year. That's going to be split evenly between our tier four spread upgrade and maintenance capital. We'll continue to monitor, opportunities for investment and the need for continued maintenance capital. But for now, our program is set at around $40 million for the remainder of the year. When we look at sort of growth opportunities and acquisitions, we often get asked about this and consolidation opportunities. Our primary focus still remains on getting our existing equipment fleet to work. We have a lot of equipment parked. We have a company built for much higher levels of revenue and so certainly from a returns on investment perspective, that is the best way to increase cash flows and earnings is to get our existing equipment in the field and working. So we're going to be looking at ways to make our existing fleet and our, our potential ads more efficient. And that's basically where our efforts are going to be for the next few quarters. I mean we are always open to the right yield and we're always evaluating opportunities as they arise, but I certainly wouldn't expect anything, but continued focus on the operations and making them as efficient as possible, and getting our equipment impacting to the field when the pricing environment is right? We're not currently active – on our MCID right now, where the shares currently trade above our price threshold. And as Klaas was saying, we're currently weighing that investment against potential technology investments or reactivation costs, et cetera. And so we'll be in and out of the market as we see fit from a returns perspective. I think I'll end my comments there. And we'll turn the call over to the operator for questions.
Operator: Thank you. [Operator Instructions] Our first question is from John Gibson with BMO Capital Markets. Please go ahead,
John Gibson: Good morning. Thanks for taking my questions. First one for me, can you maybe talk about pricing in terms of your 7% hit the field in Q4? I was wondering if – did that we received a bit of a premium, or is it kind of in line with current pricing levels?
Brad Fedora: Yes. We're not disclosing terms of the contract, but certainly given that it is the sort of the newest evolution of equipment in the field and it provides big cost savings to our customers and it fulfills all their ESG requirements. We would not have entered into that contract at today's pricing or Q1 pricing I should say. So, yes, there was a price premium, but we're not discussing details.
John Gibson: Okay. Fair enough. Second one for me, it kind of leads onto last one. When you look at opportunities for new work, would you say there's a clear directive for new build to your four fleets, or is it sort of a combination of legacy equipment sitting on the sidelines?
Brad Fedora: Well, I think that there's demand for all. Like we basically have a three tiered equipment fleet now. We've got conventional horsepower that runs on diesel. We've got dual fuel equipment, which is the result of all the retrofits that have occurred in the industry over the last four, five, six years mainly. And that provides about 60% – 50% to 60% diesel replacement with natural gas. We have lots of that as well as our competitors do. And then there's a third tier, which is our tier four engines, which is the 85% replacement. So we now have sort of three classes of equipment. And certainly we get demand for all, but there is a growing interest in the Tier 4 technology; all of our customers are – we're all getting pressure in the oil and gas industry to run more efficiently and to run cleaner from an emissions perspective. And so the demand for that equipment is substantial. We could definitely put more of that equipment to work today. It's just getting the right pricing and work volume commitments to encourage us to make that investment. They're not cheap as you can imagine and so we're not just – we're not going to put more of that on the street on spec and put it to work for the prices that we were seeing in Q1. We need higher prices to justify that kind of investment. I'm sure our competitors would say the same thing.
John Gibson: Okay, great. Last one for me, utilization obviously is a big driver of profitability and it was nice to see an uptick in Q1. I'm just kind of wondering what's the threshold you need to see across your active fleet before you'd start to think about either adding or even subtracting crews, absent Spring Break Up, obviously.
Brad Fedora: Well, if there's any price pressure downward, we will pull the crew immediately. We're not tolerating a reduction in pricing. That's crazy. We're not even running at economic levels from a Q1 pricing perspective. And some of the bids that we've seen by our competitors, particularly the U.S. firms they can have it. So we‘d rather park the equipment and go to work for those prices. So from a price increase perspective to reactivate, I wouldn't say we're in the environment that would require reactivations yet. So I would think prices will have to grow sort of either more than what we're anticipating for the summer before we would start to think about equipment reactivations. I can't give you a firm answer on it, because there's just too many variables, but we'd have to see what happens from a pricing pressure from our own suppliers, so that we were able to calculate our net price increases. So there's a lot of moving pieces, but the short answer is I don't foresee any new fleet activations anytime soon.
John Gibson: Okay, great. I appreciate Brad. I will turn it back.
Operator: Our next question is from Cole Pereira with Stifel. Please go ahead.
Cole Pereira: Good morning, everyone. Just wanted to come back to your comments on pricing, Brad. I mean, it sounded like the EMP's are fairly understanding. I mean, as it stands today, do you think you have reasonable line of sight to get some modest pricing increases in the second half then? Or is it still too unclear at this point?
Brad Fedora: No. I mean, it's never clear, but I absolutely, we're not sort of changing our views on pricing and certainly the larger, more sophisticated customers completely understand that, 2020 COVID level pricing was not in any way sustainable. And so we've had lots of encouraging conversations with our core customers, so we're proceeding as per our plan. And if we get to the summer and we're not able to achieve price increases with all of our customers, we'll pull the group. It might be a choppy summer and might not be, but we simply cannot continue to operate at these prices. And I think anybody or any of our core customers understand that. And so we still are of the view that we're going to get price increases for the second half of the year.
Cole Pereira: Okay, perfect. That's helpful. Thanks. As we think about some of your other competitors call it the large U.S. frac companies and the small privates, I mean, is it fair to say from – from what you guys see that you think they will maintain their current footprint through the rest of the year as well?
Brad Fedora: All right. I can't speak for them. So I honestly, I can't answer that. I don't know what they'll do.
Cole Pereira: Okay. Fair enough. And just kind of a general question, I mean, you talked about some of your Montney deep basin work. I mean, are you getting much inquiries for Duvernay work at this point in the back half of the year?
Brad Fedora: Yes. It's not. I wouldn't say it's overly significant, but yes, we definitely get – we are definitely getting more inquiries for Duvernay style work. I mean, everybody knows who's sort of bought into that play recently. And so we've had some of our customers exit and some of our customers enter the Duvernay. So, is it significant to our activity levels? No, I wouldn't say so. Certainly Montney and just Deep Basin is still the driver of our utilization.
Cole Pereira: Okay. Got it. I'll turn it back. Thanks for the answers.
Operator: Our next question is from Keith Mackey with RBC. Please go ahead.
Keith Mackey: Hi, good morning. Thanks for taking the question. I just wanted to maybe start off with the comments around potentially using the balance sheet for growth opportunities if conditions warrant. Just curious if you have any more color you can put around that maybe comfort leverage levels and things like that, as you think about your strategic goals.
Brad Fedora: Yes. We would view that as temporary. I think it's always a mistake to get lulled into a sense of comfort that the industry is going to stay at existing levels going forward. And as the industry increases, of course, sort of your direct industry activities increase, sort of your cash flows. And so, I don't foresee us ever really outspending cash flows other than on a sort of temporary basis for a few quarters maybe, but we're not at the point where we would see any kind of significant amount of debt to be a permanent part of our capital structure. We would use it sort of just as a shock absorber from a CapEx versus free cash flow perspective – or an operating cash flow perspective, sorry.
Keith Mackey: Got it. Got it, makes sense. And just out of the ESG becomes a part – larger part of your strategy, you mentioned that as part of the – one of the reasons to upgrade to the DGB fleets. In that context, do you have a view or a stance on sustainability reporting and that kind of thing? Or anything we should expect to see there?
Brad Fedora: Yes, we will have a sustainability report out later this year, hopefully this summer. And it would be – it's something that we would view as sort of a permanent part of our corporate strategy as – is incorporated as a sub-sector of our corporate strategy would be our ESG strategy. And the amount of time and effort we're spending on that is going to grow. We would anticipate and we would – we're anticipating that we will have an annual report out that will have targets. And what we're doing to meet those targets that would be published annually just like you've seen with the larger companies.
Keith Mackey: Got it. Okay, looking forward to that. Thanks very much for the color. I will turn it back.
Brad Fedora: Thanks.
Operator: [Operator Instructions] Our next question is from Josef Schachter with Schachter Energy Report. Please go ahead, sir.
Josef Schachter: Good morning everyone and thanks for taking my questions. I have two of them. When you upgraded and created the 4 – DGB Tier 4 equipment, which is going to be locked in for three years, did you use a Tier 3 upgrade or would you use earlier tiers? And if there's more demand in the future, would it be – which equipment would you want to upgrade from the different tiers? Is it economic to do Tier 3 to Tier 4 at a lower cost? Or would you take your oldest equipment and upgrade?
Brad Fedora: So we upgraded conventional – like a conventional frac engine and by upgrading we threw it in the garbage and put a new Tier 4 engine on the pumping unit. And then we upgraded the transmission and actually also upgraded the pump. So that it's now considered a 3,000 or we are going to be upgrading all of this, so that the pump is now considered a 3,000 horsepower pump than it would have a more durable transmission and a brand new Tier 4 engine. And so when we think about further upgrades, yes, we would – you know what I can't even make those predictions because it could be a mix of things, but would we upgrade an old 2,500 horsepower pump? No. No, we wouldn't and we don't even have any 2,250 pumps. And our Tier 2 engines that have natural gas kits retrofitted on them, there is still going to be an active market for that equipment going forward. And so, it's not like we think the whole industry is going to transition to Tier 4 anytime soon. There's still an issue with natural gas logistics on location to fuel those pumps. And they're not always applicable in all parts, in all parts of the basin. So it's – I can't really answer that question clearly. I mean we would look at our equipment and see what makes most economic sense, but I don't have that kind of – I don't have my equipment list sitting in front of me now.
Josef Schachter: Okay. Super in past conference calls, you've talked about M&A consolidation. Have you got any further thoughts on that? And do you see potentially Trican making entries into new areas or consolidating in the areas you are currently in? Is that something that's – are you seeing anything of attractiveness there?
Brad Fedora: Yes, I wouldn't say there is any interest in expanding outside of Canada at this stage. So, we don't look at consolidation opportunities in the U.S. or international and we won't be for the time – for the foreseeable future. We obviously look at anything and everything because we do have the balance sheet. We have the luxury of a clean balance sheet that will allow us to complete almost any transaction that's available in Canada. But our main focus is just making our business as efficient as possible, waiting to see what happens from an activity growth perspective because our most profitable growth in the near-term, meaning over the next sort of 12 to 18 months is getting our old equipment off the fence and getting it into the field and getting it working just because we do have an infrastructure that supports a much higher levels of revenue. And all of that operating leverage goes to the bottom line as you know, so that's our main focus. Now from an M&A perspective, we do look at other service lines from time to time and we do understand as a public company we need to continue to grow and a $500 million enterprise value is not meeting investment thresholds for many of the funds around North America. And so sort of our five-year plan would – I guess would be more flexible from an M&A perspective, but our – sort of our 12 month plan is going to be very M&A light, I would say.
Josef Schachter: Okay, super that covers it for me. Thanks very much.
Brad Fedora: Thanks
Operator: This concludes the question-and-answer session. I would like to turn the conference back over to Mr. Fedora for any closing remarks.
Brad Fedora: Okay, well, thanks for attending everyone. I'd like to also remind our shareholders that Trican's Annual General Meeting will take place this afternoon at 1:30 Mountain Time, and it will be a virtual format. It will be a very short meeting. Please see the Investors section on our website for details on how to call into that and participate in the meeting. With that thanks everyone. The management team will remain available for the next few days for questions if any further questions come up. Thanks for calling in.
Operator: This concludes today's conference call. You may disconnect your lines. Thank you.